Operator: Good day everyone, and welcome to the Dave & Buster's Incorporated Fourth Quarter 2016 Earnings Conference Call. Today's conference is being recorded. At this time I would like to turn the conference over to Jay Tobin. Please go ahead sir.
Jay Tobin: Thank you, Dana and thank you all for joining us. On the call today are Steve King, Chief Executive Officer; and Brian Jenkins, Chief Financial Officer. After comments from Mr. King and Mr. Jenkins, we will be happy to take your questions. This call is being recorded on behalf of Dave & Buster's Entertainment Inc. and is copyrighted. Before we begin our discussion of the company's results, I would like to call your attention to the fact that in our remarks and our responses to your questions, certain items may be discussed, which are not based entirely on historical facts. Any such items should be considered forward-looking statements and relating to future events within the meaning of the Private Securities Litigation Reform Act of 1995. All such forward-looking statements are subject to risks and uncertainties, which could cause actual results to differ from those anticipated. Information on the various risk factors and uncertainties has been published in our filings with the SEC, which are available on our website at daveandbusters.com under the Investor Relations section. In addition, our remarks today will include references to EBITDA, adjusted EBITDA and store operating income before depreciation and amortization, which are financial measures that are not defined under Generally Accepted Accounting Principles. Investors should review the reconciliation of these non-GAAP measures to the comparable GAAP results contained in our earnings announcement released this afternoon, which is also available on our website. Now I'll turn the call over to Steve.
Steve King: Thank you, Jay and good afternoon everyone. We appreciate your participation in our year end conference call and your continued interest in Dave & Buster's. Today, I'll review the quarterly highlights and provide an update on our current initiatives and plans. Brian will walk through the key financials and initial 2017 guidance and then I'll come back and discuss our development and remodelling efforts before we take your questions. Q4 capped off another strong year for Dave & Buster’s. We surpassed an important milestone as full year sales exceeded $1 billion for the first time. I want to take this opportunity to thank and congratulate all of the D&B team members on this accomplishment. Their passion and dedication to the brand is the key reason for our continued success and why I'm more excited today about our future prospects than ever before. Despite a challenging casual dining environment and a calendar shift that proved slightly worse than we expected, D&B’s differentiated experience across our four platforms: eat, drink, play and watch, continued to provide some insulation against these trends during the fourth quarter. We delivered an industry-leading comparable store sales growth of 3.2%, close to the midpoint of our guidance, and our non-comp stores continued to perform exceedingly well. We grew total revenues by more than 15% and operating income by more than 17% during the quarter. Of the 92 stores we operated during the quarter, 26 of those stores or 28% were non-comp stores. Their strong performance demonstrates a broad appeal of our brand as we work towards building out our North American store potential of over 200 stores. I want to point out that during the first full year of operation, our 2015 class of stores generated nearly 52% first year cash on cash return, significantly above our target. Our promotional strategy is to lead with entertainment and once guests are in our stores we want to sell them the complete experience, including our food and beverage offering. As we mentioned before we drive traffic by featuring games, food and beverage on national cable television with an immediate call to action usually including an element of free game plan. Our initial guidance for 2017, including the 53rd week is for low to mid teens growth in revenue and EBITDA. Brian will further elaborate on that topic in his prepared remarks. Next, I'd like to share a few thoughts on amusement. 2016 was yet another successful year for this segment of our business as strong content and messaging helped deliver amusement comp of 6.9% for the quarter and 6.5% for the full year. On a two-year stack, amusement comps were 15.4% for the quarter and 18.2% for the year. With titles such as Star Trek, Tailgate Toss and Rock'em Sock'em Robots, our strategy evolved in 2016 to include proprietary content exclusive to us forever. We appreciate the work of our SVP of amusement Kevin Bachus and his team as we continue to collaborate with our many game manufacturing partners to deliver on this strategy. During the quarter we completed the system-wide launch of POWER TAP, our premium priced RFID activation devices. The assortment consists of RFID bracelets, pendants and wands and guests can purchase these in place of the Power Cards to activate our game. As a reminder we have relatively modest expectations for their impact on our business and the adoption rate so far has been right in line with our projections. On the marketing front, early in the quarter we focused on football-related messaging tied to our D&B sports branding. Later in the quarter we focused on new news in the amusement segment, including games such as Tailgate Toss and Rock'em Sock'em Robots. Overall, we invested in the few extra weeks on national cable advertising during the fourth quarter versus the comparable period from last year. As we discussed in our last earnings call we rolled out a new food and beverage offering during the month of October. Menu innovation continues to be a hallmark of our brand and our guests have responded favorably to recent introduction such as Carnivore Pizzadilla and Smoked Turkey Melt as well as several new one of a kind cocktails. We want to thank our CMO Sean Gleason and his team for their ongoing creativity in bringing Dave & Buster’s to life in our advertising and promotion. Before I turn it over to Brian, I want to note that 2017 is already shaping up to be an exciting year for amusement. Driven by compelling new content, including games based on some of the world’s best known movie properties this year will reflect the further evolution of our amusement strategy. For competitive reasons we plan to unveil additional details on the lineup as we promote our games over the course of the year. Now let's hear from Brian who will provide a more complete financial update.
Brian Jenkins: Thank you, Steve and good afternoon everyone. Before walking through the numbers, I just want to join Steve in congratulating our many team members across the country. Their tireless commitment to D&B has not only enabled us to surpass the $1 billion in annual sales but also positioned us well as we look forward to our next phase of growth. Now in terms of the fourth quarter, total revenues increased more than 15% to $270.2 million, that's up from $234.2 million in the prior year due to significant contribution from newer stores as well as a healthy performance in our comp store base. Revenues from our 66 comparable stores increased 3.2% to $204 million, that's up from $197.6 million while revenues from our 26 non-comparable stores, including four that opened during the quarter, increased 79% to $68.2 million, that's up from $38.2 million in the prior year. Turning to category sales, the mix shift to our more profitable entertainment business continued as total amusement and other sales grew 19% while food and beverage collectively increased 11%. During the fourth quarter amusement and other represented 53.4% of total revenues reflecting a 170 basis point increase from the prior year period as we continued to feature and to promote the entertainment aspect of our brand. Now breaking down the 3.2% increase in comp sales, our walk-in sales grew 3.5% while our special events business increased 1.7%. In terms of category sales, amusements rose 6.9% while our food and bar business was down 0.4% and 0.9% respectively. We were able to extend our outperformance relative to Knapp Track to 19 consecutive quarters and on a two year stack basis, our comparable store sales growth was 9.2% as we cycled over a strong prior year comp of 6%, including a healthy F&B comp of 3.5%. The impact of cannibalization and competition moderated slightly and was in line with the level we had anticipated. Weather was favorable on a net basis as the rollover of last year’s storm Jonas was partially offset by this year’s winter storm. The impact of holiday calendar shift was slightly worse than anticipated and our Texas stores underperformed the system hampered by mild winter weather and some continued volatility in those markets. In terms of costs, total cost of sales was $47.9 million in the fourth quarter and as a percentage of sales improved 60 basis points. Food and beverage cost as a percentage of food and bev sales improved 50 basis points compared to last year as we benefited from food commodity deflation and approximately 2.8% in food pricing and 1.9% in bev pricing. We expect that deflation will moderate and our preliminary estimates for 2017 are for relatively flat commodity cost. Cost of amusement as a percentage of amusement and other sales was 30 basis points lower than last year. Total store operating expenses which includes operating payroll and benefits and other store operating expenses were $135 million. As a percentage of revenue, store operating expenses were 50% or 110 basis points higher year over year. Our operating payroll and benefit costs were 40 basis points higher year over year due to hourly wage inflation of about 5% during the quarter and a growing mix of non comp stores. Our non-comp stores continue to perform very well for us and are generating excellent returns. However from a labor perspective, as we mentioned before, they are not as efficient as our mature comp store base and they also have higher occupancy costs. Our store expenses were 70 basis points higher year over year due to increases in both marketing and insurance costs. Store operating income before depreciation and amortization was $87.2 million for the quarter, reflecting growth of 13% compared to $76.9 million last year and as a percentage of sales, this was a decrease of 50 basis points year over year to 32.3%. D&A expenses were $14.3 million, slightly lower than last year and as a percentage of revenues were 90 basis points lower at 5.3% as we leveraged these costs against our overall sales growth. And in terms of dollar increases in labor costs at our corporate headquarters were more than offset by lower compensation expenses related to the departure of our former COO. Pre-opening costs totaled $5 million, compared to $3.8 million in 2015 reflecting both the timing and the number of new store openings relative to last year. I would ask you to recall that for large format stores we’re typically spending about $1.4 million and for small format stores we’re spending a little over $1 million. Our EBITDA grew 16% to $67.9 million and margins improved roughly 10 basis points while adjusted EBITDA grew 17% to $74.5 million. Please note that beginning in the fourth quarter of 2016 we revised our calculation of adjusted EBITDA to exclude adjustments or changes in deferred amusement revenue and ticket liability. This change was made in order to conform to recent SEC guidance regarding non-GAAP measures. I just want to point out that the change in deferred amusement revenue and ticket liability amounted to $2.8 million in our fourth quarter this year compared to $2.5 million in the year ago period and for the full year the amount was $8.3 million this year compared to $7.6 million in 2015. Based on the previous definition adjusted EBITDA would have been $77.3 million for the fourth quarter and $269.8 million for the fiscal year 2016. This compares favorably to our most recent adjusted EBITDA guidance of $265 million and $268 million for the year. Net interest expense for the quarter fell to $1.4 million, that’s down from $2.4 million in the prior year and that's driven by lower interest rate under our recapitalized debt as well as our reduced debt level. We generated net income of $27.4 million or $0.63 per share, on a diluted share base of 43.4 million shares compared to net income of $23 million or $0.53 per share in the fourth quarter of last year on a diluted share base of 43.1 million shares. Turning to the balance sheet for just a minute, our current capital structure and strong free cash flow gives us a lot of financial flexibility here. At the end of the quarter we had just under $265 million of outstanding debt on our credit facility, resulting in a low leverage of about one times with available borrowing capacity of $219 million. Our capital allocation strategy remains focused on investing in growth via new store development. At the same time our free cash flow and strong balance sheet provides us flexibility to return value to shareholders in additional ways and that includes share repurchases. Recall that we have a $100 million share repurchase program in place through the end of FY 2018 and under this current authorization we repurchased about 396,000 shares during the fourth quarter bringing our total inception to date repurchases to approximately 560,000 shares or $29 million. As both our performance and leverage improves we will continue to evaluate the appropriate strategy to maximize shareholder value. Turning now to our outlook, and as I referenced on our third quarter call we view 2017 as a year of more normalized growth coming off another record year. Our long term financial targets are for low double digit annual growth in both revenue and EBITDA. With this in mind we are issuing the following annual guidance for 2017 which is a 53- week year for us, our year end is February 4 of 2018. Total revenues are expected to range from $1.155 billion to $1.170 billion. Comp store sales growth on a comparable 52-week basis is projected between 2% and 3% for the year in line to slightly above our long term target. Note that we will have 76 stores in our comp store base for fiscal 2017. From a development perspective, we are targeting 11 to 12 new store openings which will skew towards large format stores and new markets for our brand. EBITDA is expected to range between $270 million and $277 million. And please note that while we will continue to report adjusted EBITDA we are no longer providing guidance on that metric. We believe adjusted EBITDA provides useful information to our investors regarding our operating performance but EBITDA is the more commonly used metric among analysts following the company. We are projecting net income in the range of $101 million to $105 million based on an effective tax rate of 36% to 37% and a diluted share count of 43.2 million to 43.4 million shares. This excludes the impact of the newly effective accounting standards related to share based transaction. While the implementation of this new standard in 2017 will not affect our cash taxes, it could significantly reduce our effective tax rate and slightly increase our diluted share count. This will be dependent on the timing and the magnitude of stock option exercises which could vary significantly quarter to quarter. Since this is largely out of our control we have excluded this impact from our guidance. Also want to point out that our 53rdf week is a Super Bowl week. With the introduction of the D&B Sports, it [ph] most certainly has been improved a lot for us. However it still remains one of the biggest at-home party days of the year. As such we expect the 53rd week to be a slower than average week for us and finally we are projecting net capital additions after tenant allowances and other landmark payments of $156 million to $166 million driven by development costs for our new stores, several remodelling projects as well as new games and maintenance capital. With that, I will turn the call back over to Steve and make some final remarks.
Steve King: Thank you, Brian. I'd like to review our recent and upcoming store development activities and our remodeling programs. We’re very pleased with the response to our recent store openings. During the fourth quarter we opened four stores, a store in Toledo, Ohio and other in Silver Springs, Maryland near Washington D.C.; Oakville, Ontario which is a suburb of Toronto, and Daly City just outside of San Francisco, for a total of eleven new stores in fiscal year 2016. In 2017 as Brian mentioned we plan to open 11 to 12 new stores which will equate to unit growth of about 12% to 13%. As a reminder, the long term target is for 10% or more new store growth, including a combination of large and small formats. In the first quarter so far we've already opened stores in Carlsbad, California, Columbia, South Carolina and Overland Park, Kansas, and plan to open one additional store in Tucson, Arizona during the first quarter. Including the Tucson store we currently have 6 stores under construction and a total of 26 signed leases. At the same time we're constantly refining our processes to ensure greater efficiency during pre-opening and the first ninety days of opening phases. We remain focused on having buildings and teams that are ready to handle the typically high volume opening week in new stores. Of 11 to 12 new stores planned in 2017, six to seven stores will be in new markets for D&B with the remaining stores located in markets where we already have a brand presence. In terms of square footage, as I’ve said before we continue to use the entire range of between 25,000 and 45,000 square feet, we expect six or seven stores this year to be approximately 40,000 square foot stores, essentially it’s a very large store. While one will be between 31,000 and 35,000 square feet and the remainder will be 30,000 square feet or less, our smaller stores. Our position as a sought-after entertainment and dining concept continues to strengthen, and increasing supply of real estate combined with mall owners’ emphasis on entertainment and dining over traditional fashion retail means that we're seeing more opportunities than ever before which enables us to be even more selective on picking the best sites for our brand as we advance towards our long term target of 200 -- more than 200 units in the U.S. and Canada. We also anticipate our first of seven licensed stores in the Middle East will open sometime in fiscal 2018. We’re excited about our partner in Dubai and we're working on signing additional agreements for other geographies outside of North America as well. During 2017 we will have an opportunity to remodel four additional stores following the extension of their lease terms in 2016. If you exclude these stores, our remodelling work is now really substantially complete. So in conclusion, we had a strong quarter, a strong year, we reached a key milestone, sales surpassed $1 billion and remain highly confident in our long term outlook. As always we appreciate your continued support and interest in Dave & Buster’s. At this point, operator, would you please open the line for questions?
Operator: [Operator Instructions] And we’ll take our first question from Jake Bartlett with SunTrust.
Jake Bartlett: Great, thanks for taking the question. First, I just want to make sure I understand what's included in your EBITDA guidance. It's different than it had been, so I just want to make sure, I mean, for instance , does it include losses on asset disposals or is this the pure EBITDA as we've got today?
Brian Jenkins: Jake, it’s a pure EBITDA calculation; no add-backs calculated straight off the P&L here. If you look to the press release you'll see a definition of EBITDA in it. So you’re essentially taking net income, adding back interest back to depreciation and amortization.
Jake Bartlett: And then in terms of your same-store sales, one question I've gotten, is what are people doing for food and beverage, they're coming in to play games, how do you explain the differential, the kind of the widening separation of amusement same store sales and then food and beverage same store sales or are people literally just eating before they come or how would you explain that?
Steve King: I think there's a couple of things. First of all this is not a new trend. This trend -- this gap has existed, every quarter, during the course of this year and even going back before this year. I think there are some macro trends in eating that are having an impact on this, including things like we are seeing more appetizers being purchased as opposed to what one might consider as regular entrees if you will. So I think it’s in part behavioral but I think the entire industry is suffering somewhat pretty sluggish performance as it relates to food and beverage sales now but both negative for the quarter. And I don't think, again that's been fairly consistent over the last couple of quarters. I'm not sure there's really a good explanation for exactly why that is other than less differentiation throughout casual dining and we clearly have a component of our business that imparts that. As we said before we intend to continue to lead with an advertising and promotional message that's focused on amusements. And as such we expect that that's going to be the highest comp contributor again in 2017.
Jake Bartlett: And then looking at your guidance the last two years for same store sales, the initial guidance was, first, 3% to 4%, then 2% to 4%, it’s a little lower this year yet you seem fairly confident in your pipeline of promotions on the gaming side, or the amusement side. Why the somewhat lower outlook this year versus years past, is it -- have you or anything you're seeing year to date trends, I mean what are the drivers?
Steve King: I think we’ve said consistently that we're going to move towards that longer term guidance which is kind of low single digit comp. And we think this once again is another move slightly towards that longer term guidance. We know we have some headwinds, some of them are stuff inflicted in the form of cannibalization where we're going into existing markets, where we know will have an impact on some of the stores. And we know we have some headwinds from competition and we’re taking that into account in this guidance.
Jake Bartlett: And then lastly you mentioned you have signed leases of 26, is that the same as what you had at the end of the third quarter? I think that’s my count but maybe there's something that’s changed there. My question really is around -- sounds like you have an accelerating number of signed leases of 26 versus 19 last year, yet the pace of your unit growth is not increasing that much. So I am just trying to assess what the increase in signed leases could mean for the actual number of unit growth that you're going to eventually open?
Steve King: I think it’s greater visibility and clarity into our pipeline. We clearly can see well into 2018 what we expect to open and even into -- many of the stores that we think will open in 2019.
Operator: And we'll take our next question from Nicole Miller with Piper Jaffray.
Nicole Miller Regan: Thank you. Good afternoon. Two quick questions. How should we expect the cadence of the comp to be throughout the year? In prior years you did have tough compares or volatile compares. But as you move towards the longer term range, perhaps things would be more smooth, so taking into account the current tough -- maybe what are the pluses and minuses as you enter and as you exit the year, please?
Steve King: First of all, we're not guiding quarterly comps. So just to be clear on that, I think you do point out that we did have some things that we rolled over in the course of the last year that we called out that were -- may create some volatility from a quarter to quarter basis but we’re really not guiding quarterly comps.
Nicole Miller Regan: And when you look back in that last year, and you had I think one or two extra weeks of marketing, do you have a couple of extra weeks you could throw in this year? And then you did comment on the box office which I think is interesting. I think there's something like four times the family films coming this year; would you tie in with games or would you potentially -- and I know you don't want to get specific for competitive reasons but would you potentially also tie in food and beverage like you did last fiscal year? Thank you.
Steve King: I guess the direct answer there is yes. We plan to tie in with some movies this year, we already have those arranged. As I mentioned we want those to be announced in conjunction with when we roll out the games and those movie titles are coming out but we do have some of those already arranged. And we will have some food and beverage that are connected, that more beverage than on the food side, it's really easier for us to execute that.
Brian Jenkins: On the -- you asked a question about media, I think also. We have indicated that we extended our media weeks over the course of this year, added some weeks as Steve mentioned in the fourth quarter. At this point we are not really planning on additional media week next year, and I don’t think about sort of same number of media weeks, so we're back in little bit of a leverage kind of situation again, which is a good thing.
Operator: And we'll take our next question from Sharon Zackfia with William Blair.
Sharon Zackfia: A couple of quick questions. On the other operating expenses in the quarter, I think the first quarter that I can remember you kind of deleveraging that. And I know you called out marketing and insurance. I was just wondering if you could give us some more insight on what happened on the insurance side and whether that was expected or if there was something unusual there?
Brian Jenkins: On the second and third quarter when we gave our guide, we indicated that we’d be thinking about sort of -- of the implied margins in the fourth quarter, implied sort of flat margins and that’s exactly kind of what we had here. And we saw pressure on labor and we sort of indicated that the wage rates are hovering around 5% for us and we have more and more of these non-comps, 26 on that in the year that’s putting pressure on the labor front, 40 bp of margin decline and in reference to the higher insurance claims or higher insurance costs that's really -- we're self-funded on both geo [ph] workers' comp. So it’s really a situation where -- it was less favorable than prior years. We typically have enjoyed some favorable reserve adjustments with our actuary in the fourth quarter, it was just a little less favorable, still lower than the average quarter, it's just not quite as favorable as the past. So that situation, and as I mentioned marketing, because we added additional weeks, we de-leveraged on marketing, about 30 bp, typically we leverage on the marketing side. So that two investments, in terms of advertising in the fourth quarter and that put some pressure on the margin as well.
Sharon Zackfia: So when you think about 2017 I don't know if you expect that 5% labor inflation to continue; is that a good number to use for 2017? And if so, kind of what comp do you think you would need to kind of hold that line item?
Brian Jenkins: Well I think if you look at our guide, we’re in general guiding toward a flattish type margins next year, the EBITDA is implied a sort of flat. So the things that helped fuel the significant margin improvement this year, which was about 200 basis points for us, in terms of EBITDA margin expansion, some of those things are going away, cost of goods, we had significant fuel from e-ticket early on and commodity deflation, we were improved by about 90 basis points just on that this year. We're now talking about sort of flattish commodity cost and we're rolling -- we've completely rolled over e-tickets, so there's not a whole lot of margin expansion on the cost of sales front. We do anticipate labor to move to the negative side next year. So it's a pressure point to our P&L moving into 2017, largely on the heels of wage rate. That said, we expect wage rates to moderate a little bit, we were near 5% this year for the full year, California, New York, are the two states that we expect to have less pressure in, because we're not seeing the same kind of minimum wage increase. New York had a 50% increase last year and California right about half as much as last year. So we're getting a little bit of moderation on the wage rate in our view. But we still think it's going to be a pressure point above what we've seen in the history of this company, so it’s going to be a pressure point. And then we do anticipate next year to see higher occupancy costs, facility costs as we have this non-comp base that’s growing. And the rents of today are not the rents of our legacy old -- older stores. So -- and we're getting great returns on them. We think it’s the story, so we're going to keep building them, keep seeking for these big high returns but it does put pressure on the margin profile the company and that's why we're basically projecting sort of flattish overall margins. Where we have pressures G&A and marketing expect to leverage next year.
Sharon Zackfia: And then just one last question on cannibalization, I don't remember if you, Brian, mentioned that or Steve, is the cannibalization plan for 2017, is that kind of similar to past years, will it be expected to be higher, is it something more in the back half versus the first half? Any kind of insight into the cannibalization would be helpful.
Brian Jenkins: I think as Steve mentioned, we were skewed this year -- the 2016 class stores, new markets and it was a bigger issue -- cannibalization was a bigger issue early in 2016 because of really more or so the 2015 class which was for the most part, all of those 2015 class stores opened -- they were opened in the existing markets, so we saw pressure early into 2016 from that. The 2017 class profile looks a heck of a lot like the 2016 class. So I'm not sure that we see a significant difference moving into 2017 on the cannibalization front.
Operator: And we'll take our next question from Andrew Strelzik with BMO Capital Markets.
Andrew Strelzik: Just my first question; would you be willing to quantify the impact of the calendar shift that you mentioned? And also we've been hearing a lot about tax refunds and potentially Easter shifts, how should we think about that as we go in to this year?
Steve King: Well, let me take the second one first. So the good news with the way our quarter falls is everything falls in the first quarter. But clearly the tax shift was a noticeable event in terms of that delay. Again theoretically this all should come out in Washington in the course of the quarter. And kind of we'll see what the impact of a later Easter by three weeks is when we get to the end of the quarter. We have not forecast that as any kind of big headwind for the quarter, it's just really a timing difference of when things come to us. And then the question on last --
Brian Jenkins: I think it was a question on calendar shifts. I don't know that we want to -- there's a lot of -- little art around trying to figure out the calendar shift. I would just say this -- as we look at how December and November numbers -- I'm sorry December and January performance ran for us, the calendar shift did hurt us by more than we anticipated. And the flip side was -- also we had the weather impact. So we did roll over storm Jonas, I think we pointed out last year that was about a 1.1% hit to us. So we had really two things happening for us, in the fourth quarter we actually rolled over and actually had a good net weather situation, wasn’t quite the one wants, because we had some winter storms this year as well. But the calendar shift was higher than the weather, good guy. So it was the net, between the two, the calendar shift and weather there was a drag on performance in the quarter.
Andrew Strelzik: And then with respect to the guidance, I guess if I look at the low end of the EBITDA guidance and then the low end of the net income guidance, I am having a little bit of trouble bridging the two. Is there something abnormal in terms of the rate of increase either in D&A or maybe even you’re baking in something on the interest expense side that might be throwing that off or is that just a mean issue?
Brian Jenkins: Well, I think if you -- our guide does assume a store differential, for one. So it can drive changes to pre-opening or what would be in the EBITDA guide, so that's okay, but it would -- could change depreciation like numbers and could affect our effective tax rate as well. Chip credits, essentially are -- could be a flat number, so the effective rate of tax can vary depending on the range of operating performance also. So there are some changes that can happen between EBITDA and net income you need to think about. We have one less store depreciation that would be lower on the low end of this case.
Andrew Strelzik: If I could squeeze one more in, I just wanted to know about the plans for share purchase, and deploying the capital to share purchase. Obviously free cash flow is growing, you did a little bit of it this year. Are there any thoughts around doing more than just dilution, getting a little bit more constructive on that side in terms of capital deployment?
Steve King: I think it's a topic that we are regularly discussing with our board is, kind of what is the right level of leverage for this company, what is the right amount of return to shareholders, et cetera. We don't have anything to share today.
Operator: We’ll take our next question from Brian Vaccaro with Raymond James.
Brian Vaccaro: I just wanted to start with a couple of questions on the comps. Steve, obviously there's a lot of volatility for the broader industry through the period. But can you speak to the underlying trends that you think you saw through the quarter? I am trying to parse out the multitude of weather and calendar shifts and incremental marketing weeks – just give us some sense of the cadence for the quarter.
Steve King: I'm sorry, I missed that very last piece, the sense of the cadence through the quarter --
Brian Vaccaro: Yes, just the monthly cadence for the quarter as you see your business sort of trending for the quarter. I think last quarter you mentioned “you were off to a good start” but just curious, sort of color on the monthly cadence as the quarter progressed, trying to parse through all these calendar shifts et cetera.
Steve King: I think to Brian’s -- first of all I don't think that -- I would characterize the month to month to month within the quarter as not meaningful because of all the various shifts that we've already talked about. So the holiday shift was clearly depressing this December, you know that Jonas was favorable for January, and we talked about all those things. So I would say in general that we felt like again -- to Brian’s point, aside from the fact that we probably underestimated the severity of the impact from the two holidays ending up on the weekend. And again it was not a huge miss, we underestimated that a little bit. The quarter pretty much came as we expected it.
Brian Vaccaro: And Brian, you mentioned the impact of competition, I think you said, moderated in the fourth quarter, how are you thinking about that, everything you know about what that competitive landscape looks like? Or how are you thinking about that as the tail or the headwinds to your business as you move into 2017, is it similar to where it’s been getting little worse or where it’s getting little better and how are you thinking about that directionally?
Brian Jenkins: That’s a good question. I mean obviously we've talked about TopGolf and Main Event in the past. Both of those brands opened up quite a few stores in 2016, most of them in our market, between the two of them they opened 16 stores in our fiscal year, 13 of those were in our market. So we definitely are seeing them, they are growing that directionally a combined rate of about 35% unit growth. So a pretty aggressive growth, I would say TopGolf appears to have not opened quite as many stores as they originally anticipated. I think they opened seven, I think early in the year we were thinking they were going to open 10, just a little bit. So we definitely see them growing in the mid 30% range right now. We sort of see the same estimates moving into 2017, so kind of 35% growth on a combined basis. So I'm not sure it represents more drag -- and we expect most of those are going to be in our markets when you look at the list that we see. So they’re going to be in our DMAs. We're going to feel them. I am not sure, at a higher rate than what we see right now but we'll see. We talked before, we're curious about the honeymoon in particular TopGolf and how they do in year two, and year three and whether we call back on them over time. So and their recent acceleration is -- well their acceleration of store growth is fairly recent. So I think that's yet to be seen. So right now we're not necessarily thinking it's going to be a whole lot worse unless we see them really start to accelerate their pace up in the 40% plus, from what we see on TopGolf as I mentioned that may be harder, easier said than done so.
Brian Vaccaro: And you mentioned 10 -- I think the 10 units that will be entering the comp base this year. Any change in the impact on your comp trends based on the units that will be entering the comp base versus the impact that there has been on your comps?
Brian Jenkins: No, I mean as we've said before, I mean we adjust our comp base once a year, the beginning of the year, so stores 18 months or -- that has been opened 18 months or more when we move it into the comp base. We're really -- that’s really trying to get by this honeymoon period we talked about which is January 1, 26 weeks of operation of the store. So we don't really anticipate that when stores move into the comp set that is going to have some undue drag or influence on our overall comp performance. It’s possible I think that, you might have a week or two but in terms of anything material we don’t anticipate any significant drag on cost.
Brian Vaccaro: And then just last one, in terms of your guidance and the impact of the extra weeks, I know you said it's a little bit of a below average sales week, or that’s your expectation. But can you give us -- can you quantify either the EBITDA or EPS impact that you expect for the year or what’s embedded in your guidance?
Brian Jenkins: Yes, you could take -- the guidance range we've provided, obviously divided by 53 weeks you're going to get a number. What I was trying to say in my comments is that we would expect that 53rd week to be lower than average because of the fact that Super Bowl Sunday is -- happens to be that 53rd week, so in that Sunday, while it’s better than past Super Bowls, before we had D&B Sports, it is a depressed day of at-home viewing day for that sporting event. So it’s a slower than average Sunday, in a pretty significant way. And then from a margin perspective, the way I would think about that is when you look at our overall EBITDA at, what, 23.8% or whatever it is for the year, you're going to need a fully load that 53rd week with all fixed costs, operating costs of the business. So you’re not going to get -- you're going to have G&A, rent, occupancy, all elements of the P&L in it. And since it's a lower than average week, you're going to -- it’s going to be a lower than average margin, that’s the way I would think about that.
Brian Vaccaro: And you also included an extra week of depreciation as well?
Brian Jenkins: Everything, everything. GAAP accounting.
Operator: [Operator Instructions] We’ll go next to Steve Anderson with Maxim Group.
Steve Anderson: Yes good afternoon and thank you for pointing out some of the regional differences. I want to get a little bit more color on that, you said that Texas seemed a little bit slow. First question is, are those stores comping positively and have you noticed any other regional differences on your footprint?
Steve King: First of all, there are regional differences. Most of the regional differences tend to get driven for us at this point by. Weather, although I think we called out on our last call that the ones that were not particularly subject to weather like California and Florida were doing well for us. More specifically than that, we haven't said a lot -- Texas was very close to the average in the third quarter, it fell off quite a bit actually in the fourth quarter and was a negative for the quarter. End of Q&A
Operator: And gentlemen at this time I'd like to turn the call back to you for any additional or closing remarks.
Steve King: Well, once again we want to thank you for your participation in today's call and we look forward to sharing our first quarter results with you in early June. Have a good afternoon.
Operator: Thank you and that does conclude today's conference. Thank you for your participation. You may now disconnect.